Operator: Thank you for joining the Cumberland Pharmaceuticals Fourth Quarter and Fiscal 2014 Financial Results Conference Call. Please be advice that this call is being recorded at the company’s request and will be archived on the company’s website for one week from today’s date. At this time, I would like to introduce Erin Smith who handles Corporate Relations for Cumberland Pharmaceuticals. Please go ahead.
Erin Smith: Hello, everyone. Earlier today the company issued press release containing financial results for the fourth quarter and full-year ended December 31, 2014. The release, including the financial tables, is available on the company's website at www.cumberlandpharma.com. Before we begin, allow me to read the following safe harbor information. This call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Because these statements reflect the Company's current views, expectations and beliefs concerning future events, these forward-looking statements involve risk and uncertainties. Investors should note that many factors, as more fully described under the caption Risk Factors in our Form 10-K, Form 10-Q and Form 8-K filings with the SEC, could affect the company's future financial results. Those future results could differ materially from those expressed in the forward-looking statements which are qualified by these risk factors. The company does not assume any obligation to publicly update any forward-looking statements, whether as a result of new information, future development or otherwise. We will also discuss supplemental non-GAAP financial measures with respect to our performance today. The definitions and calculations of these supplemental metrics can be found in our earnings release and the related financial table. Also, please note that this conference call is being webcast through our website and will be available there. I will now turn the call over to our Chief Executive Officer, A. J. Kazimi, to begin our discussion of the company's performance.
A. J. Kazimi: Good afternoon, everyone, and thank you for joining us, as we review our fourth quarter and annual 2014 results. With me on today's call are Cumberland's Chief Commercial Officer, Marty Cearnal; our Chief Financial Officer, Rick Greene; and Dr. Amy Rock, our Senior Director, Regulatory and Scientific Affairs. We'll start with our recent developments, and then review our marketed products, followed by a clinical update and then a discussion of our financial performance. We'll conclude with a review of the company’s strategy and plans, before then opening the call to any questions. So let's begin. 2014 was a very successful year for Cumberland as we returned the company to growth and profitability. Today you will hear about important progress in several clinical programs including the announcement of a new addition to our product pipeline. Furthermore, we acquired two FDA approved products, strengthened our patent portfolio and expanded our international activities during the year. Also in 2014, we secured a new credit facility and continue to repurchase shares while maintaining a strong balance sheet and financial position for the company. We finished 2014 with net revenues of just under $37 million up 15% compared to the prior year. Our balance sheet included over $95 million in total assets with nearly $55 million in cash and investments. We ended the year with no debt and over $44 million of tax loss carry forwards resulting from the prior exercise of stock options. With the launch of two new products in 2014, our revenue stream became more diverse than ever before. During the year, we completed the acquisition of Vaprisol just a few months after adding Omeclamox-Pak to our portfolio. We launched active promotion of both brands in 2014 and are encouraged by the initial contributions, as well as the favorable response we have received from the medical community to both products. During 2014, we structured a new senior credit facility for up to $20 million with SunTrust Bank. We also arranged $2 million in new funding for our research activities at Cumberland Emerging Technologies or CET that included an investment from one of our international partners China's Gloria Pharmaceuticals. Also during 2014, we secured and listed two new patents each for Acetadote and Caldolor further expanding our intellectual property position for those two brands. We completed significant Phase IV clinical work for Caldolor including our pediatric pain and fever studies. Those studies provided the basis for expanded labeling and today I am pleased to announce that we file the sNDA with the FDA requesting the addition of pediatric information to our Caldolor package insert. This is one of several recent developments and a busy start to 2015 for our clinical and regulatory department. In January, we announced the publication of two large Phase IV registry studies supporting a Shortened Infusion Time for Caldolor. In February, we announced a new development program for Boxaban and oral formulation of ifetroban. And today, we will be providing initial top line data from our Phase II Hepatoren trial. I’ll ask Dr. Rock to provide an overview of these exciting clinical developments in just a few moments. But first I would like to ask Marty Cearnal, our Chief Commercial Officer, to provide an update on our marketed products. Marty?
Martin E. Cearnal: Thank you, A.J. We were very pleased to expand our product offerings during 2014, diversify our revenue stream and return product sales to a growth trajectory. We started the year with the new marketing strategy for Kristalose to better position the brand relative to other products in the lactulose marketplace. This new strategy has allowed us to better support Kristalose for patients and offer new opportunities to partner with managed care providers. We also introduced a new couponing program with an e-prescribing feature to enhance patient access to the product. These new initiatives positively impacted the brand during 2014 driving accelerated growth as Kristalose became our largest product. We planned to continue this strategy during 2015 as we support Kristalose through our field sales force and with complimentary promotional initiatives. In early 2014, we also launched promotion of Omeclamox-Pak which is also featured by our field sales division. We have seen a favorable response with growth in prescriptions from our targeted physicians. As you may know many stomach ulcers are caused by an infection from the bacteria Helicobacter pylori or H. pylori which colonize in the stomach and duodenum. When present, this bacterial infection has been proven to be the cause of over 90% of duodenal ulcers. These ulcers commonly cause abdominal pain and may lead to serious bleeding. We are targeting gastroenterologists with our promotion and our co-promotion partner Pernix Therapeutics is covering selected primary care physicians in support of the brand. We next launched Vaprisol through our hospital sales division during the second quarter of 2014 and found a favorable reception among critical care physicians and the nephrologists. Vaprisol is the only brand available to treat Hyponatremia in injectable form. The most common electrolyte imbalance seen in U.S. hospitalized patients. Studies have shown that patients with hyponatremia have longer hospital stays and poorer outcomes. Because the symptoms of hyponatremia can be subtle, it can go unrecognized and untreated. Vaprisol offers an elegant solution for this condition. The brand did not been actively promoted for some time prior to our acquisition and many physicians have been pleased to see support return for this product. Our hospital sales division plans to build on this momentum in 2015. Meanwhile Caldolor continued its growth during 2014 and we remain excited about the prospects for this brand. Our hospital sales organization continues to focus on increasing the use of the product in key medical centers across the country, where Caldolor is on formulary and stocked. We look forward to featuring the new clinical data in 2015 as we work to build Caldolor into a more significantly contributor. Finally, Acetadote stabilized during 2014 and remained an important part of our business. We achieved our goal of maintaining a majority of market share between shipments of our brand and our authorized generic. During 2015 we will continue to feature our EDPA 3 formulation. That completes the update on our marketed brands and now I’ll turn it back over to you A. J.
A. J. Kazimi: Thank you Marty. Before we return the financial results, I would like to ask Dr. Amy Rock to provide a review of some exciting clinical developments here at Cumberland. Amy.
Amy D. Rock: Thanks A. J. our team has been very busy and today I'm pleased to share our progress on several key initiatives. The results from two Caldolor Phase IV studies were recently published and are currently available as manuscripts in the journal Clinical Therapeutics. These studies included a total of 450 patients enrolled at over 30 leading U.S. medical centers. They evaluate at the tolerability and efficacy of a shortened infusion time for Caldolor. These studies included patients treated for pain during surgeries and hospitalized patients experiencing pain or fever. Both studies allowed for administration of multiple doses of intravenous ibuprofen and demonstrated at the shortened infusion time of five to ten minutes were well tolerated. The safety and efficacy results from these new studies were comparable to data observed in our previous trials. We have now completed a series of Phase IV studies in over a thousand patients including our pediatric pain and fever program. We’ve recently completed and submitted a supplemental new drug application to the FDA for the product. This submission requested changes to the package insert to include pediatric and other updated information from our post marketing studies. In addition to the clinical efforts to support our marketed products, we have also been working on the development of new product candidates. We’ve recently announced the addition of a new Phase II development program to our pipeline. We’ve initiated clinical development of Boxaban which is an oral formulation of ifetroban. We are evaluating this product candidate for the treatment of patients with aspirin-exacerbated respiratory disease or AERD. AERD is a respiratory disease involving chronic asthma and nasal polyposis that is worsened by aspirin. It is characterized by sharp increases in inflammatory mediators and platelets activity within the respiratory system. Preclinical findings suggest that ifetroban may interfere with these pathways to modify the disease and provide symptomatic relief. Approximately one in 20 asthmatic adults which is approximately one million patients in the United States suffer from AERD and the awareness of this disease is growing throughout the medical community. Current treatment of AERD remains a challenge, as novel and effective treatment modalities are lacking for this poorly met medical need. We have completed manufacturing of the Boxaban oral capsules and received clearance from the FDA for our request to initiate the clinical program for the product. As a result, today I am pleased to announce that the Phase II multi-center study has been initiated with enrollment now underway. Finally, I would like to review some top line results for our other pipeline candidate Hepatoren. Our Phase II trial was designed to evaluate the pharmacokinetics, safety and tolerability of ifetroban administrated as daily intravenous doses. This multi-center and double-blind randomized controlled study includes patients recently diagnosed with Hepatorenal Syndrome or HRS. This condition involves reduced kidney and liver function which can lead to failure of these organs and a high mortality rate for patients. In our study patients were stratified based upon disease type. Either Type I or Type II HRS diagnosis depending upon the seriousness of their condition. We started with low doses then escalated to subsequent higher dose levels contingent upon the safety and tolerability of each dose levels as determined by an independent data safety monitoring board. Cumberland completed enrollment in the Type II HRS patient cohort at the end of 2014 and four dose levels were enrolled and evaluated. Top line results indicate that ifetroban was well tolerated in HRS patients at all dose levels with no safety concerns identified. Importantly, we found that the patients receiving the higher dose levels of ifetroban were more likely to experience increases in their urine output compared to patients who received placebo. This single of improvement in kidney function is encouraging and certainly warrants continuation of the development program. Next steps include further analysis of the full data set completion of enrollment for the Type I patients and design of the follow up study based on these findings. That completes our clinical update and I’ll now turn the call back over to you A.J.
A. J. Kazimi: Thanks for that update, Amy. We are very excited about those new clinical and regulatory developments and we look forward to providing further updates as these important initiatives progress. I will now turn it over to our Chief Financial Officer Rick Greene for the finical review. Rick?
Richard S. Greene: Thank you, A.J. For the full year ended December 31, 2014 Cumberland’s net revenues were $36.9 million up 15% from $32 million in the prior year. Net revenues by product in 2014 were $14.9 million for Kristalose, a $11.9 million for Acetadote, including $5.8 million of our authorized generic; $4.1 million for Omeclamox; $3 million for Vaprisol; and $2.7 million for Caldolor. This represents the most diversified revenue stream in our company’s history. For the three months ended December 31, 2014 net revenues were $9.3 million compared to $8.2 million for the prior year period. Net revenues by product for the fourth quarter were $4 million for Kristalose, $2.9 million for Acetadote including $1.3 million of our authorized generic, $1 million for Vaprisol, $0.8 million for Caldolor and $0.6 million for Omeclamox. I would like to note that during the fourth quarter we encountered temporary supply interruptions for two products which impacted our revenue in that period. Both Omeclamox and Acetadotes, authorized generic were on back order for part of the quarter. These issues were resolved and the normal supply chain resume for both products by the end of the quarter. For the year ended December 31, 2014 our total operating expenses were $33.3 million compared to $35.8 million for 2013. Total operating expenses for the three months ended December 31, 2014 were $8.4 million compared to $10.6 million for the prior year period. These decreases resulted from our incentives to manage expense inline with our revenues; they also reflect the reduced clinical activities during 2014 following the conclusion of several Caldolor Phase IV studies. Beginning this quarter, we are introducing new performance measures that will be included in our reporting going forward. Many companies in our industry and others report certain supplemental or non-GAAP measures. We have evaluated our reporting and determine that these supplemental measures should provide investors with meaningful metrics that the company uses to evaluate its operations in addition to the traditional GAAP net income and diluted earnings per share. This is due to the magnitude of certain non-cash items including taxes and amortization expenses. As a reminder, Cumberland does not pay significant federal or state income taxes because of our net loss carry forwards. We will begin reporting adjusted earnings and total earnings per share. These underlying earnings represent our earnings before interest, taxes, depreciation, and amortization and the definition and reconciliation to our GAAP net income is included in our earnings press release. With that said, adjusted earnings for 2014 were $6.3 million or $0.35 per diluted share compared to a loss of $1.8 million in 2013 a loss of $0.10 per diluted share. Adjusted earnings for the fourth quarter were $1.8 million or $0.10 per share compared to a loss of $1.9 million in the prior year period. We were very pleased with improved financial performance and return to profitability for Cumberland in 2014. Meanwhile, we continue to believe our shares represent an attractive investment opportunity. During the fourth quarter, we repurchased approximately 300,000 shares for a total of nearly 4.4 million shares repurchased through the program since its inception. In late January, our Board of Directors authorized an additional $10 million available for repurchase of Cumberland shares using our excess cash flow generated from operations. As of December 31, 2014 we had $95 million in total assets including $55 million in cash and marketable securities. We had no debt and tax loss carry forwards of over $44 million. We had approximately 17.1 million common shares issued and outstanding at the end of the year compared with approximately $18 million shares at the end of the prior year. Please note that the recent Caldolor submission involved an FDA fee of over $1 million. For this significant non-recurring expense will impact our operating results in the first quarter. Our goal is to maintain annual profitability again in 2015 Before I close, I would like to comment on our foreign currency arrangements. The strengthening U.S. dollar has impacted many international businesses. While we have both licensing and manufacturing agreements with partners outside the U.S. The vast majority of our payments are denominated in U.S. dollars. So our foreign exchange exposure is de minimus. That completes our financial report for the full-year and for the fourth quarter 2014. Now, A.J. I’ll turn it back over to you.
A. J. Kazimi: Thank you, Rich. So as you just heard today 2014 was a very productive year for Cumberland. We rebounded strongly from the headwinds we face in the prior year and I was particularly pleased that our team swiftly addresses the challenges we face and return the company to growth and profitability. Our strategy is to now build upon our positive momentum and maximize the full potential of our commercial brands. We will also pursue opportunities to further expand our product portfolio through our business development efforts and through advancement of our internal pipeline. To that end, our objectives for 2015 are to grow our marketed brands while exploring new opportunities to expand the patient population benefiting from those products. We will also pursue new portfolio additions to select acquisitions as well as internal development programs such as our new Boxaban candidate. We’ll also work to grow the international contribution to our business and further expand our patent position. And finally, we aimed to maintain profitability and financial strength while continuing our share buyback program. We are confident that our strong financial operations and position provide the resources to achieve our goals. Most importantly we remained focused on our mission of advancing patient care to delivery of high quality pharmaceutical products. So with that, now let’s open the call to any questions you may have. Operator, please proceed.
Operator: Thank you sir. Ladies and gentlemen that concludes the Company’s presentation and we will now open the call for questions. [Operator Instructions] Our first question comes from the line of David Cannon from Aegis Capital.
David Cannon: Good afternoon guys, congratulations on the successful turnaround year.
A. J. Kazimi: Thank you.
David Cannon: First question is can you please quantify the impact of the back order status for Omeclamox and Caldolor, what was the cost to you in terms of revenue?
Richard S. Greene: From an estimated we don’t disclose that number, we got the calculation, but if you look at the trend line we would have expected the growth line to continue for those product and we saw declines. So somewhere even though we haven’t disclosed that you would expect it to be – total revenue to be in the $10 million range for the quarter.
David Cannon: Okay. And then you guys alluded to a non-recurring expense I didn’t quite catch that in the first quarter, can you reiterate what that was again please?
Richard S. Greene: Yes, the first quarter, it’s the first quarter 2015 when we filed with the FDA for our Caldolor filing, we incurred a fee of about $1.1 million that will all impact in the first quarter.
David Cannon: Okay, thank you for clarifying that and borrowing that for the balance of the year with the portfolio that you have, are you guys comfortable that you can maintain kind of this level of profitability in cash flow, it seems like you had about $1.8 million per quarter close to $7 million annualized. Is that something you are comfortable with on a go forward basis?
A. J. Kazimi: We are not going to provide guidance for 2015, what I would tell you is from an operating expense line item, we expect our 2015 expenses to look very similar on a run rate to 2014 with the exception of our R&D expenses. Look at 2013’s R&D percentage as a proxy for the model, but we are very comfortable with our run rate in expenses where we are right now.
David Cannon: Okay, just from my vantage point as a shareholder, I liked share buybacks. However, its not really impactful of what you are doing and I'm not supposing that you could accomplish the following, but my message really to the Board would be, if you guys were to do something more meaningful such as a Dutch tender and this is of course hypothetical, one never knows what the outcome is buying lets say 7 million shares at $7 a Dutch tender, you have the cash to do that. You are already at a run rate of about $6.5 million of free cash flow annualized, so you are over capitalized. The current quarter would have not been $0.10 on a non-GAAP basis, but had you accomplished this, it would have been $0.18 or 80% than what you reported. So what's wrong with my line of thinking, I mean my message to the board is you guys should be more aggressive, because it seems like you have got a pretty good business here and play offense and create some value for shareholders. You can comment and tell me what's wrong with my reason of thinking.
A. J. Kazimi: Rather than criticize or tell you what's wrong, just want to say thank you for that feedback.
David Cannon: Okay, Thank you. End of Q&A
Operator: [Operator Instructions] And I see no additional questions at this time. I would like to turn the call back over to management for any closing remarks.
Erin Smith: Sure. Thank you, everyone, for joining us on our call today. We do understand that many investors prefer a private discussion with management regarding these results, and we remain prepared to host such calls. We appreciate your time and interest in Cumberland, and we look forward to providing another update following the end of the first quarter. Goodbye.
Operator: Thank you sir. Ladies and gentlemen, that concludes our conference for today. If you would like to listen to a replay of today's conference, please dial 855-859-2056 and use the access code 79652184. Alternatively, a replay of the webcast will be available on the company’s website. I would like to thank you for your participation and you may now disconnect.